Operator: Good morning, ladies and gentlemen, and welcome to the CGI Second Quarter Fiscal 2020 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Investor and Public Relations. Please go ahead, Mr. Gorber.
Lorne Gorber: Thank you, Elaina, and good morning. With me to discuss CGI's second quarter fiscal 2020 results are George Schindler, our President and CEO and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 a.m. Eastern Time on Wednesday, April 29, 2020. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our Q2 MD&A, financial statements and accompanying notes, all of which are filed with both SEDAR and EDGAR, and are available for download on our website along with supplemental slides. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. This complete Safe Harbor statement is available on both our MD&A and press release, as well as on cgi.com. We encourage our investors to read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As always we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. So with that, I'll turn the line over to George and Francois to discuss the quarter. Over to you, George. 
George Schindler: Thank you, Lorne, and good morning. First on behalf of CGI’s entire executive leadership team, our thoughts are with those of you most effected by COVID-19. I also want to acknowledge and thank our clients and all others delivering essential services to those in need. On behalf of CGI’s employees around the world, we are proud to be supporting our clients and their customers and citizens with critical technology services during these uncertain times. In March, more than 90% of our employees successfully transitioned to working and delivering services remotely. We rapidly mobilized our resources and systems to maintain continuity of service for our clients. I want to take this opportunity to thank our employees for their commitment and ongoing engagement in support of our clients, CGI and our communities. While the pandemic has created unprecedented business conditions, our Q2 performance is a reflection of our resilient business model and operational excellence. Before sharing some additional perspectives on how COVID-19 is currently impacting our business and how we are responding, I'll ask François to review the specifics of our Q2 financial performance. François
François Boulanger: Thank you George and good morning everyone. I will share the results for our second quarter and in doing so, highlight the main drivers behind our financial performance. Revenue in Q2 was $3.13 billion up 2% when compared with last year. On a constant currency basis, revenue grew by 3% year-over-year. CGI Federal grew 7.3% in Q2 as large past quarters previously booked continue converting into revenue. Scandinavia grew 19.4% driven by last year's merger with Acando. Central and Eastern Europe grew by 7.5% largely due to both the Acando and SCISYS mergers. And in the UK and U.S. commercial and state government businesses saw revenue decline in Q2 to 2.1% and 4.6% respectively. In both cases, that decrease stems from a strong comparable for last year’s second quarter due to a large financial services IP deal. IP based services and solutions represented 22% of revenue flat year-over-year, but up sequentially by 1% or $47 million. The impact of COVID in March resulted in clients delaying award decisions. As a result, bookings were $2.8 billion in Q2 for book-to-bill of 89% and $11.9 billion or 97% for the last 12 months. Backlog, remains healthy at $23 billion or 1.9 times current revenue, the vast majority of which is comprised of managed services engagements. CGI Federal and the UK had book-to-bills of 28% and 77% respectively as governments were more focused on addressing the public health crisis resulting in delayed award decisions. The UK and CGI Federal both maintain strong government backlogs and pipelines comprise of larger long-term deals.  Scandinavia booked 104% of its revenue in Q2, while Central and Eastern Europe booked a 129% of revenue on the strength of winning additional work with existing clients. Adjusted EBIT improved to $483.2 million in Q2 and included $9.3 million related to IFRS-16. EBITDA margin of 15.4% expended 60 basis points year-over-year. The region driving this improvement were Canada with an EBIT margin of 21% mostly due to the benefits of previously announced optimizations to its infrastructure, business. Western and Southern Europe with an EBIT margin of 16.1% up mostly due to recent actions taken to exit Brazil and refocus the Portugal business; and Asia Pacific, with an EBIT margin of 28.2% which reflects the quality of delivery and ongoing client trust in utilizing our offshore services. Lower margins in both the U.S. and the UK were due to the same IP deal in Q2 last year, which included a large license. Our effective tax rate in Q2 was 25.9% compared with 25.5% last year, which is within the expected range for the full fiscal year. On a GAAP basis, net earnings were $314.8 million and EPS was $1.18 per diluted shares. Excluding $31 million in acquisition and integration related costs, net earnings for the quarter were $238.4 million up 4.3% from last year. And net margin increased by 20 basis points to 10.8%. Adjusted earnings per shares as a result where $1.26 per diluted share, up 7.7% from $1.17 last year. Profitable growth, operational excellence and share buybacks drove EPS accretion in Q2. Our operations continue to produce strong cash flow. In the second quarter, we generated the $396 million or 12.7% of revenue. This includes a positive IFRS-16 impact of approximately $45 million. Over the last 12 months, we generated $1.6 billion in cash from operations, or 13.4% of revenue. Cash management as always, remains a priority. We continue sustaining service levels for our clients allowing for strong cash collections. DSO was 51 days stable compared with last year, when adjusting for the impact of currency fluctuation at the end of Q2. In Q2, we continued allocating capital with discipline. We invested $89 million back into our business. We invested over $1 billion buying back and canceling 10.4 million shares of CGI and we merged with France-based Meti, bringing additional IP into our portfolio as well as TeraThink, which closed on the last day of the quarter and will deepen our work with the U.S. federal government. These integrations continue to progress at pace in virtual format and with the same discipline apply to all of our integrations. Both integrations will be completed as planned in the second half of this fiscal year. Net debt at the end of Q2, stood at $3.8 billion or 29.2% net debt-to-capitalization when excluding IFRS-16. This compares to 17.4% at the end of Q2 last year. With an objective of successfully navigating the current prices and reinforcing on competitive positions for the rebound and beyond, we entered into a two year unsecured term loan credit facility of US$750 million during the quarter. In April, we added US$500 million to that facility for a total of US$1.25 billion or CAD1.76 billion.  Before turning the call back to George, I want to reiterate that financial strength is a core value of CGI and key to the execution of our strategy. We now have nearly $1 billion in cash and an untapped $1.5 billion line of credit readily available. This financial strength anchors CGI’s resilience, which George will now talk about. George?
George Schindler: Thank you, François. In addition to our financial strength, I would like to underscore the other attributes of CGI’s resilience that are enabling us to navigate this crisis and the uncertainty we all face. First, our mix of services is weighted towards longer-term recurring revenue projects, including SaaS-based intellectual property solutions, which are continuing without interruption. In fact, overall managed services accounted for 53% of our total revenue in the second quarter. Second, our diversified industry portfolio includes over 60% of revenue coming from industries less affected by the current crisis, including government, health care, insurance, utilities and communications. For example, the vast majority of our government managed services and systems integration projects have remained funded and operating. In Q2, our revenue coming from the government sector is up 6.6% year-over-year. And finally, CGI’s proximity based model allows us to stay close to our clients, which is particularly important in times like these. Approximately 85% of our revenue is driven by members located in proximity to our clients, allowing for faster responses and adapting to evolving client needs. This model is further complemented by a robust network of global delivery centers, with just over half located in onshore or near-shore locations and the remaining located offshore. When taken in combination, these attributes enable CGI to mitigate the considerable business disruption created by the global pandemic on our clients’ operations. In impact, which varies in intensity by industry and by geography. It is important to note that CGI clients across industries and geographies are predominantly large global enterprises and governments, whom we believe are better positioned to weather this crisis. Industries that have been significantly impacted by the current crisis include manufacturing, due to factory closures, transportation and logistics, particularly passenger transport, consumer retail, excluding food services, and energy, particularly in oil and gas. Although we have less overall exposure to clients in these industries, the impact some clients are facing results in a stoppage or delay of some CGI systems integration projects. While we cannot predict the future, we can continue to take preventive action to preserve and protect shareholder value and to retain our talented employees, of whom 86% are also shareholders. As part of our crisis response, we have instituted cost reduction and avoidance efforts to protect our margin. In instances where CGI have stopped – where CGI clients have stopped or delayed CGI projects, employees are using vacation time, reducing their hours or if needed, taking leave without pay. We instituted temporary salary adjustments, starting with me as well as our Executive Chairman and the co-Chair of our Board. The three of us are forfeiting all salary during this time. In addition, the independent members of our Board and our corporate Executive Vice Presidents have taken significant salary reductions. These actions as well as our engagement and relevant government programs allow us to supplement, in large part, loss compensation for our employees on leave without pay. This ensures that our talent is available to support clients in the rebound, while at the same time, protecting shareholder value. Some of these temporary measures may need to become permanent, depending on the duration of the pandemic and the pace of the rebound activities within the impacted industries and geographies. These are difficult decision to make, but are necessary to ensure we have the right talent in the right places to support rapidly evolving client demand. For now, we estimate that these permanent restructuring actions will result in a cost between $40 million and $75 million, which we would plan to expense over the next couple of quarters. As countries begin to reopen, we expect to focus for many commercial clients to turn to prioritize an agility and operational excellence, and we’ll look to IT partnerships to deliver on these imperatives. For government clients, we expect the focus to be on managing the evolving employment programs, billions of new loans and the initiation of new economic stimulus packages. These policies and programs will require IT services and solutions to implement, while also ensuring public accountability. CGI’s annual Voice of Our Client’s program was conducted over the past few months, with our leaders holding over 1,400 interviews with client executives globally, in person and more recently, via video. We completed the program about a week ago with the interview split nearly 50-50 between the timeframe before and after the pandemic was declared. The unique timing of these strategic conversations is providing us preliminary insights into how business and IT priorities are rapidly evolving. For example, the interviews held following the pandemic declaration are revealing in even higher client demand for services and solutions associated with data analytics, application managed services, and business agility when compared to the pre-pandemic discussions. As organizations around the world have responded to this crisis, technology has played an intrinsic and inseparable role in clients’ ability to deliver critical services, sustain productivity of remote workers and quickly adapt business models and services to new realities. Going forward, we expect this dependence on technology to deepen, creating larger and longer-term opportunities for CGI to partner with clients on initiatives to meet business objectives, including delivering operational savings. In order to best prepare for our clients’ evolving priorities, we have secured additional financial flexibility to allow us to invest in CGI’s future organic growth, including through large recurring opportunities in both managed services and intellectual property. We also continue to assess opportunities on the buy side of our strategy in preparation for continued consolidation in our industry. To continue to best serve our clients, we plan post-crisis to accelerate the pace of metro market and transformational mergers. In order to prioritize the investment in these growth initiatives, is our intention not to utilize our stock buyback program at this time. As a company of owners, CGI is focused on being there for our people, for our clients and for the communities we call home. We continue to hear from our clients that when complex serious work needs to be done, they turn to CGI as their trusted partner, particularly at this time. We are confident that we will emerge post-crisis and even stronger position to continue to execute on our build and buy strategy to the benefit of our members, clients and you, our shareholders. Thank you for your continued interest and support. Let’s go to the questions now, Lorne.
Lorne Gorber: Just a reminder that there will be a replay of the call available either via our website or by dialing 1-800-408-3053, and using the passcode 9364262, that will be available until May 30. As well, a podcast of the call will be available for download within a few hours, and follow-up questions, as usual, can be directed to me at 514-841-3355. Elaina, could we poll for questions, please?
Operator: Certainly. Thank you. [Operator Instructions] The first question is from Thanos Moschopoulos with BMO Capital. Please go ahead.
Thanos Moschopoulos: Hi, good morning. George, can you expand on CGI’s response to COVID? What has this transition to work from home look like for CGI, would have been the key challenges in getting your employees up and running remotely? And then from a customer-facing perspective, what changes have you had to make to better adapt to your clients’ challenges and what that’s going to be?
George Schindler: Yes. So thanks for the question, Thanos. I would just start with our leadership team and our employees did a fabulous job preparing for and executing on our business continuity plans. And if anything, I would say, we are a few days ahead of the shutdowns in almost all cases and moving to working remotely. And really, immediately, and that happened, I would say, pretty smoothly. I think part of that is our global delivery network, where we’re already used to working, in some cases, with remote teams across different locations, even though the vast majority of our people are located in proximity to our clients. But it really immediately turned – we turned our attention to assisting many of our clients. First, in helping them move to remote work, helping them implement collaboration software, in many cases, enhance cybersecurity, the infrastructure associated with making sure that happened. And then in those early days, we found ourselves actually working very quickly with our clients to support their needs on behalf of their clients, putting changes into their applications or into their services to allow them to best implement the programs and serve their clients. And of course, then we also engage in community work, helping schools and the like work more remotely. And even – I think you’ve seen the announcements, even helping with the recruitment process for a study on a drug with – in conjunction with Montreal Heart, it’s now in use in Canada, New York and in the U.S. and in Spain and is being looked at other places. So a lot of work in many of those cases, people would work all night, day and night to implement changes very rapidly, so our customers could respond, but always in collaboration with our clients.
Thanos Moschopoulos: Great. And you mentioned over 90% of employees working at home. But if you think about capacity or productivity, can you quantify what that looks like relative to pre-pandemic levels? And to what extent there still might be a gap with your ability to deliver services?
George Schindler: Yes. As you might imagine, we track that very closely. And in fact, while some, certainly, initially, there were some productivity hits, by and large, the fact that our members are equipped to work remotely, working in conjunction with our clients. Our clients have been extremely flexible in kind of modifying the way we work, but the productivity is actually – is very high. And I also should mention that about 3% of our workforce, a couple of thousand people, are delivering essential services for our clients and are either still working at a CGI office in a very safe manner and are working at a client site. And certainly, so that work has continued as well. So by and large, we’ve been able to keep the productivity. Of course, that’s for the projects to continue. There has been some impact, obviously, of projects that they could delay or stop.
Thanos Moschopoulos: Great. And finally, for François. Can you provide some color in terms of the level of COVD transition costs we’ve have experienced in the quarter?
François Boulanger: Sorry, I didn’t fully understand the question.
Thanos Moschopoulos: Sorry. Yes, the level of transition costs you might have had in the quarter with respect to transitioning employees to working remotely, where those cost material there not worth calling out?
François Boulanger: No, no, no, nothing material on that side. Transition went pretty fast going from – to the home and working from home. So not material cost in there.
Thanos Moschopoulos: Great. Thanks a lot.
George Schindler: Thanks, Thanos.
François Boulanger: Thank you, Thanos.
Operator: Thank you. The next question is from Steven Li with Raymond James. Please go ahead.
Steven Li: Thank you. And I hope the entire CGI team is doing well in these tough times. Question is on organic growth. I didn’t get it from your prepared remarks. So I just wanted to follow-up on that. And also, conceptually, George, should we expect organic growth to deteriorate a little more in the next couple of quarters before turning? Thank you.
George Schindler: Yes. Yes. So on the organic growth, we are most resilient in our managed services and in our intellectual property offerings. But certainly, there is a bigger impact in the systems integration projects and that are delayed or stopped. And this happens to both our base business and our – the business that we merge into the company, in some ways, and even in a bigger way because they were 100% systems integration consulting efforts. So we do believe that some of that impact will continue. I can’t really predict that right now. But I can tell you is we see some small positive signs, whereas certain countries are beginning to go back to work, this is particularly happening in the Scandinavian region, we do see some of our consultants being called back to work. But of course, in other areas, we see some of that being extended. So this is going to be a wait and see, which is why we took the actions we did, but also why we took the actions we did on a temporary basis so we can bring people back if and when needed.
Steven Li: Is there any specific number for organic growth, George, for the quarter?
George Schindler: Yes. So well, as I mentioned, because the SI&C projects are impacted on both the organic side and the inorganic side, it becomes a little more – a little less meaningful to break it down, and a little more difficult to do that. So maybe, François, you can give some of those examples and…
François Boulanger: Yes. Yes. Yes. So I’ll give you the example of some acquisition we had lately ckc, for example, in Germany, where they are very heavy also on the manufacturing side. And again, manufacturing were hit in Germany. So it hit what we had already in Germany and naturally, also, what we purchased with ckc. Another example, if I’m taking an example like Acando, where we’re doing – it was a lot of business consulting. As you know, in these time, with this crisis, the first thing client is cutting is a high-end consulting. And so that’s why it had an impact as well as the Acando acquisition and the rest of the business. So that’s why we didn’t see a relevant to split both of them. But if we would do it based on the run rate like we did in the past or you would expect it, you will have seen a decline in the organic growth by close to 1%.
Steven Li: Okay, that’s helpful. And then a cash flow question for you, François. Your CF was down 14%, and the first six months it’s now flattish despite the IFRS 16 boost. Anything unusual there, François? Thank you.
François Boulanger: This quarter we had some payments, larger payments that we did in the quarter that we didn’t have in the first quarter. So that’s why it hit us a little bit. You’re right that on a year-to-date basis, we are flat despite IFRS 16, but we had some payments that we did from the restructuring that we announced at the beginning of the year, and that put some pressure to – on the cash from ops, and that’s why you’re seeing it flat year-over-year. But there’s still very good cash generation with more than $800 million for the first six months and 1.6 – more than $1.6 billion for the last 12 months. So still good cash generation.
Steven Li: Very helpful. Thank you.
George Schindler: Thanks, Steve.
Operator: Thank you. The next question is from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse: Yes. Thank you. So, George, I noticed that you guys announced an actual win here this morning, which is kind of quite notable. So I’m wondering, maybe, just give us a bit of color on that. And I guess, in that context, what your ability is like to sign bookings on the current crisis here?
George Schindler: Yes. Thanks, Richard. Yes, we did have a nice win that we just announced. It was actually awarded last week, and we were able to announce it here. It’s actually a total cybersecurity engagement for 86 different agencies across the U.S. federal government. It’s a sister type effort to one that we were awarded, I think, 18 months ago or so. That had a $335 million booking over six years. Obviously, that’s going very well because we were able to win this award. And it’s net new business, it will – actually, we’ll be hiring for that, which is nice, given some of the other headwinds that are going on in other parts of the world. And I think it’s a testament to the strength of the CGI Federal team there in the U.S. It comes at a nice time, too because you might have noticed that bookings were depressed in the U.S. Federal business. Part of that is just the focus that the government has right now on public health. But we do believe there will be stronger bookings in the next quarter in all of our government businesses. And then looking forward, we actually believe that we’re well positioned, if you will, to help our clients both respond to the crisis and rebound from the crisis. And if you think about the last crisis in 2008, obviously, a very different crisis, and you can’t really compare the two. But some of the solutions are being repurposed in a very big way to help our clients at this time, helping them implement government programs and grants management, which, obviously, have ERP software around the world, particularly in the U.S., helping them with payroll services, because a lot of these stimulus programs go through payroll. We have a lot of those services in Canada, Scandinavia, Finland, Poland and the Baltics. Helping with remote learning; we’re actually doing that both in the UK and France as our clients transition to a whole new way of working. The education space is kind of pioneering and innovating. We have solutions to help there. Help in public health; we have telemedicine solutions, and we’re actually helping the government in the UK and some pilot projects around testing and monitoring because unfortunately, this crisis doesn’t necessarily end until we have the final solution, and even as we begin to reopen, I mentioned the opportunity helping Montreal Health. And then also on the – as clients rebound from this, there’s opportunities for us to help them, both governments, financial institutions and the like in collections, in payments, in fraud detection, even digital solutions for consumer retail. We’re actually seeing projects get accelerated on – in the consumer retail space around digital. And we recently merged with Meti, who has some solutions in that area that complement our own retail solutions. So it’s a long way of answering your very simple question of, do you think you can book work in the current climate. Obviously, much more pressure in the immediate term when clients were just focused on making sure that they could keep their services going. But as we look to kind of the new normal, if you will, all of these solutions help. And I guess, I should mention, the biggest one, which is really the managed services. We believe that the selling cycle will shorten and the savings value proposition will strengthen for our managed services solutions. And because fewer partners can be relied on and obviously, the savings are needed by our clients. So we believe that in a safe and responsible manner, we can be there to help our clients with solutions for these tough times.
Richard Tse: Okay. And then with respect to sort of M&A, no doubt, you guys are quite well capitalized here, but my guess is that some of the prospects that you’re looking at in the past may not have been given some of these metro market companies. Do you get a sense at this point in time whether those valuations are going to come into you kind of down the road here?
George Schindler: Yes. Well, we would certainly expect that the valuations would change. They are changing for the public companies, for the private companies, it would be the same. The payback period obviously would become more attractive for us in merging. I think the impetus for a lot of these companies to join with a company like CGI also strengthens. So I think all of those work in our favor. Of course, we will still be very diligent and focused on making sure that we’re merging with the right companies, even if the timing and the price becomes far more attractive, we’ll still look for all three. But that’s why I mentioned we did make sure that we were capitalized to take advantage of that opportunity.
Richard Tse: Okay. Just one last one for me, and this is probably more for François, but – have there been any requests from any of your current customers to maybe push or defer payments here over the short-term?
George Schindler: Yes. I will start, François, and then you can close. And the reason I’m going to start, Richard, is that the best antidote for that – yes, we have had a few of those requests. But the best antidote for that is superior delivery, which our teams are doing. And that’s how we start. And then, of course, we expect the payment to come with that because of the excellent service that we are providing and in many cases, critical service. So François, you’ve had a couple of those requests. We’ve instituted a process, they all come to François. And so far, François, what’s the answer?
François Boulanger: No. So exactly like George is saying, the first thing I had a couple of calls with some of the CFOs in the market. And again, the first question I ask is, how is their service going and all that. And naturally, with the answer – positive answer we have, again, we’re saying, you need to pay for these services. So – and we put – yes, we did put something inside internal to have me – going to me for approval for any extension. And for now, we didn’t give any extension. At the same time, since clients is asking us for delay in payments, we are also doing the same thing with our suppliers. And in some places, we’re taking advantage of some governments, payroll taxes that they accepted to push, so we’ll take that in consideration. As like a real estate that we are having discussion with some of the owners to push some payments. So what – it’s both side of the equation that we’re working on the cash.
Richard Tse: Okay. Great. Appreciate the color. Thank you.
George Schindler: Thanks, Richard.
Operator: Thank you. The next question is from Maher Yaghi with Desjardins. Please go ahead.
Maher Yaghi: Yes. Thank you for taking my question. I want to start with a question on the things you can control with revenues being in flux and hard to assess what’s happening with COVID and how long it’s going to take. You have much more control on your cost structure, and we’ve seen it in the quarter here with earnings growing. I wanted to ask you about your EPS accretion for 2020. What’s your expectation in terms of how much revenue would need to decline for you to not be able to support a growth in EPS year-on-year? I have another question as a follow-up.
George Schindler: Yes. Thanks for the question, Maher. As you correctly state, the uncertain times, obviously, make it very hard to predict on the revenue side, but we do have – in our business, we’re able to protect the margin because most of our costs are variable. And as a services firm, this is mostly high cost, which is why we took the actions we did on the – both the permanent restructuring but also on the temporary leave without pay situation to make sure that we keep our costs in control. Of course, we can’t protect all of the margin given the fact that we do have – with the lost revenue. At some point, you do have that. We have a set of different scenarios and we’re monitoring that. But you can be sure that we’re looking to protect our margin in all cases, even as we are responsible for our clients. And realistically, obviously, our plans for where we want to go in the short-term are interrupted, but I want to be clear that we’re committed to continuing to meet our aspiration of doubling the company over the next five to seven years, even though our short-term plans may be interrupted.
Maher Yaghi: Is the situation severe enough at this point in time for you not to be able to grow your EPS year-on-year in 2020? I know. It’s hard to predict what’s going to happen down the road. But as we see it right now…
George Schindler: Yes. It’s hard to predict – yes. Right now, like I said, we see a pretty stable environment. We have – it fluctuates between 2% and 5% of our members on a temporary leave without pay situation, as I mentioned. But we’ve already had some of those consultants called back, and then we’ve had others added to that. So it’s fairly stable in that range right now. And from talking to our clients, we don’t know where we’ll go. But we’re talking to our clients right now, we’re very close to our clients. We believe we can manage in that range. But again, it’s going to be dependent on both governments and the timing of when and how they reopen and dependent on our customers, our clients and their customers on how quickly some of that returns. We believe in the intermediate term, we’re in a strong position. But it’s – right now, it’s – it literally – it’s changing on a daily, weekly basis. So it’s difficult to predict.
Maher Yaghi: No, that’s helpful. On the backlog, you have a very strong amount of backlog in – that you can count on. But how much of that backlog could be at risk? I’m trying to see, could we see some, not delays, but cancellations of contracts that you have in the backlog. Have you started seeing something like that?
George Schindler: No. The vast majority of that work is in the managed services area. It’s typically pretty critical to our clients to continue that. In reality, we’ve actually seen some expansions, some of that work in the early days here that actually contributed to some of our stronger bookings in places like Central and Eastern Europe. So right now, we believe that looks pretty solid. We don’t see a lot of that. Of course, some add-on systems integration projects on top of that backlog doesn’t happen as quickly. But we’re pretty conservative in how we book that backlog. So we’re not very concerned right now at this point. It’s pretty solid.
Maher Yaghi: Great. And my last question. I saw that you increased your credit line in April. You – as you mentioned this morning, you you’re putting a pause on your backlog. How much of those moves are related to conserving cash versus being opportunistic for potential increases and M&A possibilities in the next couple of years? Trying to just see your views on that.
George Schindler: Yes. It’s a perfect question. And you did give the answer. It’s – by and large, it’s positioning us for the future, but taking that opportunity to do it now to ensure that we had that at our access for if and when those opportunities present themselves. So it really was more about our future growth both organically because we, as I said, we do believe that the managed services value proposition strengthens in this current environment and to do those deals properly, sometimes it takes some cash. And then obviously our intellectual property and as I mentioned, that's well suited for these tougher times that our clients face. And then ultimately on the buy side as, we mentioned we do believe there are clear clearly going to be opportunities for – merger opportunities post-crisis.
Maher Yaghi: Okay. Thank you very much. Thank you.
Operator: Thank you. The next question is from Jason Kupferberg with Bank of America. Please go ahead.
Cassie Walker: Hi, this is Cassie on for Jason. Just wanted to ask about on the demand side, I know you guys said that there were delays in contract awards, but just wanted to get a little more color on what you're seeing in terms of the pace of new requests for proposals, conversion of these RFPs in the bookings ramp of existing work and to revenue. And have you seen an uptick in sort of like client price concessions? Thanks.
George Schindler: Yes, that's a, that's a lot of questions there Cassie. But I'll try to, I'll try to get there. I think your main question was really what are we seeing on the demand side and what we're seeing is a, it does vary by both industry and by geography. And the industries that we are seeing more demand, obviously, in the health, the utilities, the critical services and of course, government. And those are really working, although there was an initial interruption due to kind of governments being focused of the public health, we're seeing those projects continue. The demand is actually pretty strong as I mentioned. And so and that's across all those telecommunications would be one as well on the critical infrastructure side. And, for example, in the UK we're a named strategic supplier to the central government and we've been very active in assisting on projects of national importance on their behalf. And so in fact, we're hiring in the UK. And as I mentioned with the award we just had in the U.S. Federal, we're hiring there as well. Where it's most impacted on the demand side is very clear. And I called some of those out, is where you have a factory closed. Obviously, the demand is very different and we do see that in manufacturing. We saw that initially in consumer retail, but even in consumer retail, we're seeing a shift to omni-channel health as their customers are shifting very quickly. And then on your final question, on price concessions, we have had some of our clients come to us and look for various discounts. As I mentioned, we're working very collaboratively with our clients and that's part of the CGI model and the proximity. And in those cases where we've been asked for that, we've worked collaboratively with them to say, okay, what can we do on scope changes or even expansions to allow for a reduction for them without an impact on CGI, maybe even a positive impact on CGI. And we've been successful on a couple of those. We're in discussions on others, and so we haven't seen any material changes in that regard much like we talked about with the payment terms. And it all comes down to having those close relationships with our customers. I've had a number of these discussions at the CEO levels. And I think they're truly – we're working together and thankful in helping them meet their customer's needs and therefore helping CGI continue to be a resilient at this time.
Cassie Walker: Thanks. And just one follow-up, a more like a clarification question. I know you guys mentioned the $40 million to $75 million restructuring costs expected for the next few quarters. Are you sort of expecting that majority to land in third quarter with a little bit in fourth quarter and then on the, are you guys still expecting incremental restructuring costs with the Portugal, Brazil and Sweden delivery centers? Thanks.
George Schindler: Yes. We have, to answer your last question first. We are expecting just a limited amount still within the range we announced, there's just some trailing items in Sweden. All the rest is past us. François can give you the exact number, maybe. But then on the other items, the timing is difficult to predict. And, let me maybe start this way. It is our hope that we won't need to use anything close to the upper-end of that range because things will recover quicker. And remember, these are members that are very important. They were doing important work before this crisis. They're dislocated. It's why we took some of the actions we did on the salary reductions. That money is going to really supplement their pay and therefore not impact the company's bottom line protecting our shareholders. So we don't want to do any of it. But we will have to take actions if necessary. So, I think it would probably be split between the quarters, just depending on how these openings happen and what we see, how the clarity comes. But right now, if I had to guess and it really is a guess, I don't think we'll have full clarity for another couple months.
Cassie Walker: Yes. Thanks for answering my questions.
François Boulanger: Thank you Cassie.
Operator: Thank you. The next question is from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Good morning. Just to follow-up on the last question and just wondering what you're seeing from competitors in the current environment and whether competitors have gotten more competitive in terms of pricing out there.
George Schindler: Yes, we haven't really seen seeing that Stephanie if anything we've seen some of our competitors maybe not move quite as quickly as we were able to move to the new way of working remotely. We filled some gaps for some of our competitors from that perspective. I think that was, I think our ability to do that was really the fact that we are in proximity to our clients. We live and work in the same locations. And, so when various shutdowns occurred shelter-in-place orders happened, our people were already in the locations and they didn't have to have a disparity between your home location, shelter-at-home versus your client's shelter-at-home area. But right now as I mentioned, we have had a couple of requests from our clients on discounts, but we haven't seen regarding broader changes in the landscape. It's still early days, but we haven't seen it right at this point.
Stephanie Price: Okay, great. And in terms of the IP and cloud business, just hoping, you could talk a little bit about the relative resilience of that business both in the short-term and maybe in the longer term as well.
George Schindler: Yes. Well thanks for the question. Certainly the our IP is becoming a bigger value proposition in the fact that all of it or the majority of it is accessible via software-as-a-service. It's still right around only half of our IP is purchased, software-as-a-service. But we do believe that that would increase as clients add capacity and infrastructure and look to providers like us to provide the service and not have to, not have to deal with that themselves. So, we think it's a strong environment for that, but I got to tell you more important than the infrastructure side on cloud. It's really is the business solutions themselves Stephanie, that that becomes the more important element. And I mentioned we have a number of our software actually provides critical business services, maybe even more critical at this time for the, some of those business services. And we've actually modified some of that IP to be more relevant in the current environment. So we think it's a stronger environment for IP. And of course that's nice to be able to say because both SAAS and license and maintenance IP is at the higher end of the CGI margins, as you know.
Stephanie Price: Great. Thank you very much.
Operator: Thank you. The next question is from Deepak Kaushal with Stifel GMP. Please go ahead.
Deepak Kaushal: Good morning guys. Thanks for taking my questions. George, François, I know there's a lot of questions and there's a lot of uncertainty in the near-term. I'm curious, given that you've done 50% of the voice of the client after the impact of COVID, and you have an army of high value consultants, what kind of permanent structural changes do you anticipate as a result of this pandemic? And what do you think in terms of strategy, how you can change or tactically adjust to take advantage of these structural changes going forward?
George Schindler: Yes, thanks, Deepak. We actually do have a, an army of consultants right now thinking through those questions. And in fact, we have a really a point of view, quite frankly by industry because it's going to vary by industry. And I do agree with you. There will be some permanent changes. Obviously, we had a broken supply chain in many industries as that gets reorganized as certainly customers now have been accelerated to be even more digital than they were. They were previously. And I think there are going to be opportunities across each of the industries and we're evaluating and quite frankly, they're different by industry. And we're looking at those opportunities. And essentially the way we're looking at this is really three phases. Deepak, we're looking at the respond phase, which essentially is what we're in now. And I mentioned some of the things that we were doing to help our clients, which only deepened our relationship during the respond phase. But then there's going to be an initial rebound phase and in that rebound phase so that's where some of our IP, as we talked about will really apply. But also those managed services for the cost savings becomes a better value proposition. But then we believe there's going to be a third phase, which is re-invent. And that's where some of those permanent structural changes are going to occur. And I've had a number of discussions with CEOs where they said, we're evaluating right now as we've reacted to this to this crisis.  What things are we going to keep doing that same way and what things are we going to change back to the way we were before? And everybody is looking at that and I think that'll be industry by industry, but in some cases it will be a company by company and so we're preparing for that as we speak. And that's why it was so valuable to have done the voice of the customer the way we did it. And again, just another shout out to both our member employees as well as our clients. The fact that we were able to continue those strategic discussions really almost seamlessly in the remote world and get the value from it, I think is a testament to the relationships we have.
Deepak Kaushal: Okay. Thank you. And then just a quick follow-up on the M&A strategy, I was hoping for some more nuanced insight on to metro market versus transformation. We know you've been doing a lot of metro that's quite well understood.  Transformational, like the last big one was Logica, it seems like it's becoming a bigger priority now to look at transformational. Can you get these done in environments where governments are saying we don't want companies to be forced to sell. How do you think that plays out? And, I know it's hard to give us a sense of timing, but is this kind of a one-year to two-year to get done or is it a six months to get done or a five-year thing that we should think about terms of transformational?
George Schindler: Yes. No. I wish I could, answer the timing point, but we want to be prepared for any of those scenarios. But the tilt towards transformational is very simple, right? The valuations of those larger companies obviously become more attractive. The payback period becomes more attractive and it becomes more doable. I'm not as concerned about the point you make about the company. The company takeover scenario because it really, in all cases we come in as really the local players, whether it's a Metro market merger or a broader one. So in many ways we can work with governments and mitigate that. We've done that successfully even in the U.S., so I'm not as concerned about that, but certainly the opportunity and the tilt towards transformational is really all about the opportunity and the pricing has a big play in that.
Deepak Kaushal: And should we expect something transformational to look like a CGI and when you take out cost synergies or to look very different from the CGI where you, you can get a broader kind of capability?
George Schindler: No, I think it's a, we have end-to-end services. We like our end-to-end services, I think you'll see us stay true to those end-to-end services. So it would look more like that.
Deepak Kaushal: Okay. Thank you for taking my question.
Operator: Thank you. The next question is from a Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks very much. Good morning. Just wanted to follow-up on one of your last comments on CGI’s proximity model. Just broadly speaking, are you seeing from your customer base an increasing willingness or improved or change in sentiment that they may have towards onshore or near shore versus off shore? There's been tremendous push over the last 20 years probably for offshore. Do you think, the disruption that came out in this environment is perhaps, much more apparent to end customers now and then maybe shifting their priorities a bit?
George Schindler: Yes, we have seen, we have seen some of that. We've had discussions with clients or actually in discussions with clients about that now. The pockets of, I would call it rebalancing, not wholesale, it is not exiting the off shore, but there are pockets of rebalancing and we think we're very well positioned for that. I also should take the opportunity to let you know, our India operations has performed extremely well. All of our global delivery centers have – but particularly in India performed well. Obviously, the 21 days shut down and then that was extended. All of our people were able to transition remotely. You saw the margins. This is even in, at least the beginning of the shutdown period and that continues. So, I think that becomes a differentiator. And I guess, Paul, what I see is clients looking for partners that can do the right balance. And this is what we always have said to our clients. It's a global delivery. It's not onshore, offshore. It's really a global delivery. We'll put the right services in the right places and make sure that they're comfortable. And that's the conversation we're having as some are looking at doing that rebounds.
Paul Treiber: Okay. Alright, thanks for taking my question. I'll leave it at that.
Lorne Gorber: Elaina. I guess we'll take one more question.
Operator: Thank you. The last question will be from Rob Young with Canaccord Genuity. Please go ahead.
Rob Young: You said that you'd you've seen the sales cycle shortening on a managed services or perhaps you said you expected to see that. Maybe clarify that for me. And then what's giving you the confidence to say that is it better access to more senior decision makers in your customers? Is this crisis getting you better access at the higher level? Is it previous discussions that are accelerating? Why are you confident that you're going to see that cycle shorten?
George Schindler: Yes, I'll start this way. It's mainly an expectation, but it's an expectation based on a strengthening value proposition as far as what that provides to our clients. But it's all of the above. There are more discussions being had at the senior client level. They're more engaged in these discussions given what they're going through. And then like I mentioned, the value proposition becomes much stronger. So it really is all of the above. But this is where we and, and it's also based on what we've seen in past crisis and what and how the behaviors and the pressures on our clients change and how we can then provide the offering to help them. And yes, we have had a number of these discussions ongoing straight through this crisis period.
Rob Young: Okay. And are you seeing that accelerate? Like is it actually shortening or you expect it to shorten?
François Boulanger: We expect it to shorten.
Rob Young: Okay. And then just one clarification, one of your peers said that they expected a top line impact from travel reimbursement. I assume given 85% of your revenue, like you said earlier, comes from members and proximity. That isn't as much of an issue for you if you just talk about that and then, that's it.
George Schindler: Yes, we have a much smaller amount of that and that's a good news, bad news story because we also don't have of any of the benefits of having people in the short-term not traveling and have the impact of that on our bottom line. But no, that's not a big item for us. There are some projects where it occurs, but it's minimal.
Rob Young: Thank you
Lorne Gorber: Thank you Rob. Thank you everyone for joining us today and we look forward to talking to you again with the Q3 results are in July. Again to follow-up with me 514-841-3355. Thank you. 
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.